Darren Seed: Good afternoon, ladies and gentlemen. Welcome to the Greenlane Renewables' Fourth Quarter and Year Ending December 31st, 2024 Video Conference. My name is Darren Seed, President of Incite Capital Markets, responsible for Investor Relations at Greenlane. I'm joined today by Brad Douville, Greenlane's Chief Executive Officer and Stephanie Mason, Greenlane's Chief Financial Officer. We'll begin with prepared remarks followed by Q&A, which I will moderate. Before beginning our formal remarks, we'd like to remind listeners that today's discussion may contain forward-looking statements that reflect current views with respect to future events. Any such statements are subject to risks and uncertainties that could cause actual results to differ materially from those projected these forward-looking statements. Greenlane Renewables does not undertake to update any forward-looking statements except as may be required by applicable laws. Listeners are urged to review the full discussion of risk factors in the company's annual information form, which has been filed with Canadian Securities regulators. Please feel free to submit any questions you may have through our Investor email address at IR@greenlanerenewables.com. Now, over to Brad.
Brad Douville: Thanks Darren. Good afternoon and thank you everyone for joining us today. As you can tell, we're driving forward on a new path for our quarterly results where Stephanie and I will discuss the quarter year end December 31st, 2024 through this video presentation. We made significant progress in 2024 as evidenced by our strong financial results and continued operational improvements. While Stephanie will provide the details of our financial results in a moment, I did want to highlight that our adjusted dividend improved by over 80%, balance sheet cash position strengthened by over 35%, and G&A cost run rate reduced by over 25%. This reflects discipline cost management and positive impact from gross margin as a percent of revenue. It increased from 25% in 2023 to 32% in 2024. With over $16 million in cash, no debt, a backlog of over $21 million as at December 31st, 2024, we are entering 2025 with a strong foundation. Beyond financial results, technological innovation and leadership through products that provide the best price and performance remain the focal point for us. Greenlane recently filed two new patent applications for landfill gas upgrading technology, aimed at maximizing methane recovery, while reducing capital expenditure. The company plans to unveil its next generation product line in 2025. Higher performance and lower cost systems boost revenue generating RNG output, while minimizing upfront investment making RNG projects more accessible and scalable. Outside of our results and product development plans, we do receive inquiries about the nature, extent, and duration of any U.S. tariffs. We are assessing the direct and indirect impacts that these tariffs may have on our business including the impacts of any retaliatory tariffs or other trade protectionist measures implemented as the situation evolves. The company is currently not supplying systems in the United States, reliant on components or assemblies supplied from Canada or Mexico. Leading biomethane offtakers have come together under the leadership of the European Biogas Association to emphasize biomethane's essential role in achieving Europe's climate neutrality objectives, while ensuring the continent's global competitiveness. Harmen Dekker, CEO of the European Biogas Association said that the European Commission's net-zero targets require a profound transformation of Europe's energy systems driven by renewables, infrastructure development and new market opportunities. He went on to say, that to achieve this in the most competitive way, sustainable biomethane is a vital role to play, in the upcoming clean industrial deal, serving as an essential component of this transition by providing Defossilization solutions enhancing energy security and strengthening Europe's industry. In the US, Democratic Congresswoman Hilary Scholten and Republican Congressman David Valadao introduced The Agricultural Environmental Stewardship Act of 2025 to extend the Section 48 Investment Tax Credit, under The Inflation Reduction Act for qualified biogas properties. Congresswoman Hilary Scholten said that, extending the Section 48 Investment Tax Credit is common sense and to secure America's green future, producers must have the clarity necessary to make critical investments in biogas. She went on to say, that her bill would put, West Michigan's agricultural community at the forefront of the clean energy transition, while cutting harmful greenhouse gas emissions and lowering costs for families across the country. She also said, she's glad to work with her Republican colleague to introduce solutions that support communities across the country. Meanwhile, CNBC reported that natural gas producers are bullish on demand, as they see significant upside from the immense energy needs of Artificial Intelligence and Data Centers. The surge in power demand poses a challenge for Amazon, Google, Microsoft and Meta. The Tech companies have committed to powering their data centers with renewables to slash carbon emissions, but solar and wind alone may be inadequate to meet the electricity load because they are dependent on variable weather. Greenlane believes that the near-term rapid uptake of natural gas for AI and data centers presents a new potential pathway for RNG, as the Tech companies ultimately fulfill their commitments to renewables by displacing that natural gas with RNG overtime. With that, I'll now turn the call over to, Stephanie.
Stephanie Mason: Thanks, Brad and good afternoon, everyone. I'll bring up a slide that summarizes our 2024 results. As a reminder, all figures are in Canadian dollars and all comparisons are for the fourth quarter in fiscal year 2024, against the respective periods of 2023 for continuing operations unless otherwise stated. Greenlane generated revenue in the fourth quarter of $8.5 million, compared to $16.5 million for the comparative period of 2023. The change reflects an $8.5 million reduction in system sales partially offset by a $0.5 million improvement in aftercare services. For the fiscal year 2024 revenue of $51.8 million was 5% lower than 2023 revenue of $54.6 million. System sales revenue accounted for 83% of total 2024 revenue, compared to 89% in 2023 which is recognized in accordance with the stage of completion of projects with the remaining 17% of revenue generated from aftercare services and royalty contracts, compared to 11% in 2023. Our gross margin excluding amortization in the fourth quarter of 2024 was 45% or $3.8 million, a substantial increase from gross margin of 20% on $3.3 million in the same period of 2023. For the full year, we delivered a gross margin excluding amortization of 32% or $16.3 million, compared to 25% or $13.6 million in 2023. The company has a portfolio of active projects at different stages of completion and at different gross margin levels. Reflecting on the gross margin improvements in the fourth quarter and the full year 2024 the increases are largely attributable to product mix as well as an increased contribution from parts and service and higher costs in the prior year from non-recurring commissioning and other costs. It is also worth pointing out that the full year margins benefited from the positive impact of expired warranty provisions and the second quarter adjustment to the company's current warranty provision estimates based on historical experience. Adjusted EBITDA in the fourth quarter improved 85% to a loss of $0.2 million versus a $1.4 million loss in the fourth quarter of 2023. For the full year, adjusted EBITDA was a loss of $1.7 million versus a $9 million loss in 2023, an improvement of 81%. The improvements in adjusted EBITDA results for 2024 reflect as Brad noted, disciplined cost management improved overall product gross margin along with the decrease in system sales revenue in comparison to 2023 results. The company generated net income and comprehensive income of $1.9 million in the fourth quarter of 2024 compared to a net loss and comprehensive loss of $16.8 million in Q4 2023. This is primarily from the change in fair value of a note receivable and foreign exchange gains included in other income. For fiscal 2024, the company incurred a net loss and comprehensive loss of $1.3 million compared to a net loss and comprehensive loss of $28.3 million in 2023. This is a significant improvement on a quarter-over-quarter and year-over-year basis, despite Q4 2023 results including an impairment of goodwill and intangible assets. The company's sales order backlog was $21.8 million, as at December 31, 2024. As a reminder, the sales order backlog is a snapshot at one moment in time which varies from quarter-to-quarter. The sales order backlog increases by the value of new system sales contracts and is drawn down over time as projects progress towards completion with amounts recognized in revenue. Our sales order backlog does not include service revenue or revenue from the company's royalty-like agreement with ZEG biogas. Our $6.5 million system supply contract announced in the fourth quarter for a landfill RNG project boosted our sales order backlog and highlights the demand for Greenlane systems. As of December 31, 2024, Greenlane had cash and cash equivalents of $16.2 million, an increase of 37% or $4.4 million over the same period in 2023. We continue to maintain a strong balance sheet with no debt, which provides us with financial flexibility as we invest in key growth areas, optimize operations, while driving financial performance. I now turn the call back to Brad for closing remarks.
Brad Douville: Thank you, Stephanie. As I stated at the beginning, we made significant progress in 2024 as evidenced by our strong financial results and continued operational improvements. We are entering 2025 with a strong foundation to deliver on our strategic plan. We remain resolute and committed to our mission of accelerating the energy transition with a 2025 strategy that involves advanced products, superior project execution, a strong parts and service platform and royalty revenue. Our 2025 strategy is underpinned by financial discipline with relentless focus on improving adjusted EBITDA results and maintaining healthy cash reserves. With a solid step in that direction as announced in today's results, we are delivering long-term value for our customers and shareholders. Thank you for joining today, and I'll turn you over to Darren for the Q&A.
A - Darren Seed: Thank you, Brad. And yes, we've been in some questions-and-answers for the Greenlane investors. So you Brad, you seem to be on a new development path with the Cascade LF. What can you tell us about this technology and why is it important to Greenlane?
Brad Douville: Yes, Cascade LF is our next generation product. Maybe just bring up the slide here and I can explain the relevance. So it's important to Greenlane, but it's more importantly important to the industry. And to unpack that we need to look at the difference between biogas generated from anaerobic digesters from that biogas generated from landfills. They're fundamentally different. We see that just on the left side of the screen we have less impurities to remove from digestive gas, basically, methane separation from carbon dioxide. But the big performance metric of an upgrader is methane recovery. For digestive gas methane recovery is around 99.5% so very high. In the case of landfill gas, we have other impurities including oxygen and nitrogen that need to be removed which are very difficult. And in that case methane recovery can drop to as low as 80%. Maybe best case 95%. And we know that for the same flow size the CapEx for the customers about double. So what that means then today's state-of-the-art of landfill gas upgraded technology costs too much and it doesn't perform relative to that cost. So that's a problem that we need to solve and that's what Greenlane has leaned into last year. That resulted in two new patent applications that we filed in December. We will be developing this new product Cascade LF unveiling it in October of 2025 and it incorporates those new patent applications. So we're really excited by this development. We think this will help move forward or advance the state-of-the-art of landfill gas upgrading in the industry.
Darren Seed: Great. Thanks, Brad. And Stephanie with respect to the financials, Is this the level of G&A? Is it a fair way to look at Greenlane on a run rate basis going forward?
Stephanie Mason: Yeah, so we made strides this year to really reduce our G&A costs and most of that happened in Q3 of this year. So in Q4 you started to see some of that cost reduction and you'll continue to see that in Q1 2025 and thereafter as we really start to recognize that 25% cost reduction in our G&A run rate.
Darren Seed: Thanks, Stephanie. And I mean also how should we look at Greenlane's financials on such a strong increase in the balance sheet? Yeah, we haven't seen a great deal of new project announcements. What is the path here to ensure our balance sheets longevity?
Stephanie Mason: Yeah, so we're really starting the year at a really great position. We've kind of talked about all the great things that we've achieved in 2024 putting ourselves in a great spot for 2025. So our focus this year is to really look into the profitable areas of our business and see growth there. So that's our parts and service, our biogas desulfurization and our technology licensing which is where we're filing the patents which we just announced in Q4. On top of that we're also improving the profit profitability of our core upgrading system segment of our business. So that's kind of where we would expect to see our growth and kind of ensuring our balance sheet stays strong thereafter.
Darren Seed: And so changing back to Brad, US political backdrop is capturing a great deal of limelight these days. What would you tell investors about Greenlane's perspective on this topic and perhaps how to look at this impact?
Brad Douville: Yeah, I think, it's pretty clear that as last time Trump has sucked all the oxygen out of the room and focused everyone on his agenda. But we can't lose sight of the fact of a number of things. So firstly under Trump 1.0, RNG not only survived, but thrived. So it's been enduring and that's really because RNG in the US does enjoy bipartisan support. I referenced earlier the bill by a Democrat and a Republican generally proposing that just because that's another piece of evidence that it has support from both sides of the aisle. We also have in the US, the state level programs. So the low carbon fuel standards, California is the biggest but it also exists in Oregon, Washington and also in DC in Canada. So those state level province-level programs are unaffected by the federal government in the US, so that's a positive piece of news. The drive for biomethane in Europe continues. The drive in Brazil for biomethane continues. Those things are unaffected by what happens in the White House. So I think that's all very positive. We have supportive legislation. It's codified under Congress in the US, so it's not as if Trump can just simply sign another one of his executive orders and have it disappeared. It doesn't work that way with this particular helpful legislation that provides the carbon trading mechanism that has been helpful for RNG in the US.
Darren Seed: Thanks Brad. And Stephanie net income saw a positive contribution from the deployment of development capital in Q4. Is that something the company will be focusing on going forward?
Stephanie Mason: It's not going to be a focus going forward. If opportunities present themselves, we're definitely not going to shy away from them but that isn't where our main focus is for 2025. Really for 2025, we're focusing on development and developing the next generation of our upgrading product. So that's the patent filings that we've done and what Brad's been talking to earlier in this presentation. In addition to that, we're also making a plan towards manufacturing. So we really want our customers to be able to take advantage of tax incentives and financing opportunities for local content, so primarily that impacts Brazil and the US.
Darren Seed: Thank you Stephanie. And Brad last question. What are you seeing in the RNG industry that gets you excited?
Brad Douville: That was a few things, so maybe a slide might be helpful to explain the portion of it. Just get this up here. So firstly the projections. We have a situation, whereby, well firstly there's a number of different data sets that we have to look at but probably the most credible comes from IEA, International Energy Agency. In their findings and reporting, the period of time from 2018 to 2022 we saw a doubling of RNG volumes globally and their forecast from 2023 to 2027, another doubling. When you run the numbers, those two periods of doubling correspond to 19% CAGR, which is really tremendous growth. Any industry that has that kind of growth, over that kind of time period, is an industry you want to be part of and that's the industry that we are in. The other thing that this chart really notes is that Europe and North America have led the way. We know the markets very well. We're well positioned in both markets, with our various products. We're comfortable where that is. And then, what's shown on this chart as other, so this emerging kind of the rest of the world if you will, 40% of other by 2027 will be Brazil. We're currently the market share leader in Brazil, again, well positioned there, so it's really exciting about the growth, not only the sustainable growth that the RNG industry has seen and it's forecasted to continue to see, together with the support of policies and mechanisms that are currently in place, and don't feel like they're at risk. So that's kind of piece one. So the other thing I'm really excited about is, that Cummins is introducing or they introduced last year 15-litre engine. So, why does that matter? Well, that matters because in the US, 90% of the RNG goes into the transportation sector so 10% for industry and gas utilities, 90% into transportation. The engine that's been available over the last 10 years -- 12 years actually has been a 12-litre engine. The 12-litre engine in the US market, satisfies maybe 20% of the total market opportunity. The 15-litre engine will access the full market opportunity. So that's really going to be a game changer. So we recognize that the volumes of RNG going into the US again, mostly dominated by transportation, a new engine, offer that's going to be appealing to a much wider spectrum of end users, that's super exciting.
Darren Seed: Right. Well, thank you, Brad and thank you for your time, everyone. And if you have any questions, please reach out to our investor relations contact information, included in today's news release. Thank you.